Operator: Good morning. I would like to welcome everyone to Kennametal Fourth Quarter and Fiscal 2025 Earnings Conference Call. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to Michael Pici, Vice President of Investor Relations. Please go ahead.
Michael Pici: Thank you, operator. Welcome, everyone, and thank you for joining us to review Kennametal's Fourth Quarter and Fiscal 2025 results. This morning, we issued our earnings press release and posted our presentation slides on our website. We will be referring to that slide deck throughout today's call. I'm Michael Pici, Vice President of Investor Relations. Joining me on the call today are Sanjay Chowbey, President and Chief Executive Officer; and Pat Watson, Vice President and Chief Financial Officer. After Sanjay and Pat's prepared remarks, we will open the line for questions. At this time, I'd like to direct your attention to our forward-looking disclosure statement. Today's discussion contains comments that constitute forward-looking statements and as such, involve a number of assumptions, risks and uncertainties that could cause the company's actual results, performance or achievements to differ materially from those expressed in or implied by such statements. These risk factors and uncertainties are detailed in Kennametal's SEC filings. In addition, we will be discussing non-GAAP financial measures on the call today. Reconciliations to GAAP financial measures that we believe are most directly comparable can be found at the back of the slide deck and on our Form 8-K on our website. And with that, I'll turn the call over to Sanjay.
Sanjay K. Chowbey: Thank you, Mike. Good morning, and thank you for joining us. I'll begin the call today with a brief overview of the full year and then some end market commentary. From there, Pat will cover the quarterly financial results as well as the fiscal '26 outlook. Finally, I'll make some comments reflecting on my first year as CEO and provide an update as to our plans moving forward. Then we'll open the line for questions. Turning to Slide 3. Let me begin by highlighting some of the accomplishments the team delivered despite market headwinds. During the fourth quarter, our Infrastructure team secured a $25 million multi-year award with a U.S. defense customer. In Metal Cutting, we secured wins in Aerospace & Defense as well as project wins in Power Generation, supporting AI data centers within the energy end market. These key wins position us well moving forward in markets that are benefiting from long-term secular growth trends. We successfully executed tariff mitigation actions to address the impact of trade policies on our business. Where appropriate, we rerouted internal supply chain as well as leveraged our global footprint to optimize product flow. We also implemented surcharges. And while we experienced an impact in the quarter, as anticipated, we remain committed to fully offsetting the impact moving forward. On the cost front, in January, we announced plans to lower structural costs by reducing employment costs and consolidating manufacturing operations. During the fourth quarter, we ceased operations in Greenfield, Massachusetts, and we consolidated facilities in Spain to advance our footprint rationalization efforts. We also recognized $6 million in restructuring savings this quarter, and we have achieved run rate savings of approximately $65 million inception to date for all cost-out actions at the end of fiscal '25 and expect approximately $90 million by the end of fiscal '26. We made modest progress on portfolio optimization by completing the sale of our Goshen facility in early June. I want to thank the team for their support. And while we have made headway on our structural costs and portfolio actions, we have much more to do. I will provide some additional comments on this later in the call. The results reflect the continued broad market weakness that has impacted our end markets for the past 8 quarters. Weak global production volume, declining U.S. land-based rig counts and slowing light vehicle production, especially in EMEA, continued to pressure our performance. Adding to these pressures are supply chain disruptions in certain end markets and continued uncertainty around tariffs and the potential effect tariffs have on global production. Now turning to the full year. In addition to market softness in several end markets, foreign exchange headwinds pressured our top line as sales declined 4% organically. On a segment basis, Metal Cutting declined 5%, Infrastructure declined 2%. Most of our end markets experienced mid-single-digit declines on a constant currency basis, though Aerospace & Defense was a bright spot with mid-single-digit growth. Energy was flat. All regions on a constant currency basis experienced low single-digit declines. Adjusted EPS was $1.34 as several one-time items and restructuring savings offset the lower sales and production volumes. Cash flow from operating activities for the year was $208 million. Finally, we returned $122 million to shareholders through share repurchases of $60 million and dividends of $62 million. In summary, our performance reflected market softness and our continued efforts to get the best results possible in that environment. We know we have a lot more to do here, which I'll speak to more in a moment. See Slide 16 in the appendix for additional details on our full year results. Now I want to provide some color around the end market conditions reflected in our fiscal '26 outlook at the midpoint of our range. In Aerospace & Defense, overall, we expect low double-digit growth, reflecting higher OEM build rates as production and supply chain conditions improve. Defense continues to experience growth from increased spending and project wins. Transportation is expected to decline mid-single digit based on IHS global production forecast, which have been especially volatile as customers are working through product mix evolution and supply chain reconfiguration due to trade policies. General Engineering is expected to be down low single-digit as global production metrics continue to remain stagnant. We anticipate the energy end market to be flat. Finally, Earthworks is projected to be down mid-single digit. See Page 17 in the appendix for additional detail on our end markets. Now let me turn the call over to Pat, who will review the fourth quarter financial performance and the fiscal '26 outlook.
Patrick S. Watson: Thank you, Sanjay, and good morning, everyone. I will begin on Slide 4 with a review of the Q4 operating results. Our results for the quarter reflect the continued broad-based market softness affecting all of our end markets and regions. The sales in the quarter came in slightly below our expectations as a result of modest shortfalls in general engineering from continued market softness, mining pressures in Earthworks and supply chain disruptions in Aerospace & Defense. On an organic basis, in Q4, sales decreased year-over-year at 5% with Metal Cutting declining 4% and Infrastructure declining 5%. Regionally, on a constant currency basis, we experienced low- to mid-single-digit declines. Similarly, by end market, we experienced low- to mid-single-digit declines in all of our end markets. In Energy, the decline was due to lower energy activity in EMEA and lower rig counts in the Americas. Transportation within Metal Cutting was impacted by continued OEM production softness, mainly in EMEA. We experienced an unusual decline in Aerospace & Defense sales. In the Americas, we lapped a large order delivery in Infrastructure last year and had a temporary supply chain disruption at one of our metal cutting customers this year. These discrete items were partially offset by growth in EMEA from OEM build rates. Lower industrial production continues to affect General Engineering across both segments, and lower mining activity in Asia Pacific and the Americas was partially offset by higher construction and Earthworks. Adjusted EBITDA margin was 14.8% versus 17.7% in the prior year quarter. The decline in adjusted EBITDA margin was primarily from lower volumes across the business as well as the expected unfavorable effect of tariffs, net of the surcharges we implemented. These unfavorable items were not offset by the higher prices, restructuring benefits and the positive net effect from the tornado which occurred in the prior year. During the quarter, we realized approximately $6 million in savings from the restructuring program we announced in January. Additionally, we have increased this program and now expect approximately $35 million in annualized savings, up from the $15 million we originally communicated. At year-end, we achieved $65 million of run rate savings against the $100 million target we set at our last Investor Day. Adjusted EPS declined to $0.34 compared to $0.49 in the prior year quarter. And finally, as part of our capital allocation strategy, we continued the share repurchase program with $5 million of shares bought back and $15 million in dividends paid. The bridge on Slide 5 shows the effect on EPS of operations, including all of the factors I just discussed, plus currency, taxes and share count. The year-over-year effect of operations this quarter was negative. This reflects lower sales and production volumes, higher wage and general inflation, higher raw material costs, pricing and incremental year-over-year restructuring savings of approximately $6 million. The $0.07 net benefit related to the tornado that occurred last year includes a $0.04 benefit from the charges incurred in the prior year and $0.03 from the net insurance proceeds received this year. Currency impact of $0.04, which reflects transaction gains, including a preferential Bolivia exchange rate. As discussed last quarter, unmitigated tariff costs were negative $0.04 of EPS. You can also see the effects of the tax rate, which was positive $0.02. Other reflects lower share count and interest expense, which was neutral. Slides 6 and 7 detail the performance of our segments this quarter. Metal Cuttings reported an organic sales decline 4% compared to the prior year quarter. Regionally, excluding the effects of currency exchange, Asia Pacific was down 1%, the Americas declined 4% and EMEA declined 5%. Looking at sales by end market on a constant currency basis, Aerospace & Defense grew 1% year-over-year from higher OEM production in EMEA, partially offset by prior year OEM project timing and a customer supply chain disruption in the Americas this quarter. Transportation declined 4% mainly due to lower volume in EMEA. General Engineering declined 5% with weakness due to lower industrial activity in EMEA and prior year indirect channel order timing in the Americas. And lastly, Energy declined 6% this quarter from lower activity due to weak energy prices. Metal Cutting adjusted operating margin of 7.9% decreased 550 basis points year-over-year due to lower volumes, higher wages, inflation and net tariff costs of approximately $4 million, partially offset by price and restructuring savings of $4 million. Turning to Slide 7 for Infrastructure. Organic sales decreased by 5% year-over-year with unfavorable business days and the effect of the divestiture at negative 1% each. Foreign exchange contributed a 1% tailwind. Regionally, on a constant currency basis, Asia Pacific declined 4%, EMEA declined 5% and the Americas declined 7%. From an end market perspective, Energy grew 1%, mainly from project timing in EMEA, partially offset by lower U.S. land rig counts and drilling activity in the Americas. General Engineering declined 5% with lower demand in the Americas and EMEA, partially offset by modest growth in Asia Pacific. Earthworks declined 7% from lower mining activity due to lower coal prices in the Americas and Asia Pacific, partially offset by higher Americas construction activity. Lastly, Aerospace & Defense declined 16% due to a large prior year order in the Americas. Adjusted operating margin declined year-over-year to 6.8%, primarily from lower sales and production volumes, including certain plant shutdowns and higher raw material costs, partially offset by the $7 million net effect of the tornado, price and restructuring savings of $2 million. Now turning to Slide 8 to review our free operating cash flow and balance sheet. Our full year free operating cash flow was $121 million compared to $175 million reported in the prior year. The decline in cash flow is primarily the result of lower net income versus the prior year and an increase in inventory from higher tungsten costs compared to a reduction in inventory in FY '24. Net capital expenditures were $87 million compared to $102 million in the prior year. In total, we returned approximately $20 million to shareholders through our share repurchase and dividend programs this quarter. During the quarter, we repurchased 232,000 shares or $5 million under our $200 million authorization. And as we have every quarter since becoming a public company over 50 years ago, we paid a dividend to our shareholders. We remain committed to returning cash to shareholders while executing our strategy to drive growth and margin improvement in this challenging environment. We continue to maintain a healthy balance sheet and debt maturity profile with $840 million of cash and revolver availability at quarter end. The full balance sheet can be found on Slide 21 in the appendix. Turning to Slide 9 regarding our full year outlook. We are providing a range for both the full year and the first quarter, beginning now with the full year. We expect FY '26 sales to be between $1.95 billion and $2.05 billion, with volume ranging from negative 5% to flat, price and tariff surcharge realization of approximately 4% combined and an approximate 2% tailwind from foreign exchange. As a point of information, the recent divestiture represented approximately 1.5% of FY '25 sales. On an operating income basis, foreign exchange is expected to be an $8 million tailwind and noncash pension expense is expected to be a headwind of $5 million. Approximately $35 million of restructuring savings has been included. From a timing perspective, we expect these restructuring benefits to be 40/60 weighted first half to second half. We expect adjusted EPS to be in the range of $0.90 to $1.30. On the cash side, the full year outlook for capital expenditures is approximately $90 million and free operating cash flow is approximately 120% of adjusted net income. The bridge on Slide 10 highlights the main drivers impacting EPS at the midpoint of our outlook. The year-over-year effect of operations is positive. This reflects higher price and restructuring savings, partially offset by lower sales and production volume, higher raw material and tariff costs, higher wages and general inflation. The outlook includes approximately $0.15 of headwinds from prior year one-time items related to IRA manufacturing credits and the net insurance proceeds from the impact of the FY '24 tornado. You can also see the effects of the tax rate and currency on EPS with taxes of negative $0.06 and currency neutral as the weaker U.S. dollar is offset by favorable transactional FX related to Bolivia recorded in the prior year. Other reflects lower interest income, partially offset by lower share count. Turning to Slide 11 regarding our first quarter outlook. We expect Q1 sales to be between $465 million and $485 million, with volume ranging from negative 7% to negative 3%, price and tariff surcharge realization of approximately 4% and 2% positive impact from foreign exchange. Our Q1 range reflects a volumetric decline that is generally in line with our historical norms and also includes a sequential step-up from foreign exchange and price. We expect adjusted EPS in the range of $0.20 to $0.30. The other key assumptions for the quarter are noted on the slide. And with that, I'll turn it back over to Sanjay.
Sanjay K. Chowbey: Thank you, Pat. Turning to Slide 12. I want to take a moment to reflect on my first year as CEO and provide a framework for the future. During the year, I spent a lot of time with customers and employees across both segments. My focus was to learn about the broader enterprise and continue to identify opportunities for improvement, which I'll talk about in a moment. We continued our focus on growth, winning key projects in defense and AI power generation, among others. We made progress on $100 million fiscal '27 cost-out target, exiting fiscal '25 with approximately $65 million of annualized savings. We strengthened our capabilities in lean tools by conducting over 35 Kaizen events company-wide and strategic growth projects, such as our Digital Customer Experience initiative by expanding our partnerships with the investment in Toolpath, building upon our existing relationships with Autodesk and ModuleWorks. We completed our first portfolio action with the sale of our Goshen facility. Additionally, in line with the plans we laid out at Investor Day in 2023, we executed footprint actions that included 2 site closures. I also strengthened our executive bench, bringing in Dave Bersaglini to lead the Metal Cutting team and promoting Faisal Hamadi to run Infrastructure. One of the things that I have realized during this first year is just how much opportunity for improvement Kennametal has. In order to unlock that value, we must fix the structural cost issues holding back our performance. Additionally, it has become apparent that modernization, while necessary to upgrade our operational and technical capabilities, resulted in more capacity than current market conditions support. These factors drove us to look at our strategy and long-term goals differently. And while we remain committed to our value creation pillars, we are prioritizing rightsizing capacity and our cost structure to set the company up for long-term success. Let me elaborate here. Previously, we committed to 3 to 5 plant consolidations based on a set of assumptions that included 1% to 2% market CAGR. Frankly, that assumption is no longer relevant due to continued market pressure. As a result, capacity optimization remains one of our top priorities with the goal to reduce our global footprint across both businesses. This includes consolidation of operations and maximizing the efficiency and utilization rates of all locations. The plan is to complete this in 2 phases. Phase 1, complete 4 closures by the end of fiscal '27 with an updated cost savings of $125 million, exceeding our original target by $25 million. We now expect this program to incur cash restructuring costs of $125 million. Phase 2 will result in the reduction of 2 additional facilities by the end of fiscal '28. Together, these 2 phases reflect 6 total consolidations, which exceeds our previous target of 3 to 5 outlined at Investor Day and extends the overall time line by 12 months. These actions are complex, will take time to complete and need to be thoughtfully executed to minimize customer disruptions. We believe these actions will enable us to operate efficiently in the current environment and still maintain flexibility for a more robust recovery when that does occur. This is an important step toward addressing our structural costs and should help ease the margin pressures caused by current low volumes. In addition, we will continue to advance our initiatives focused on above market growth and continuous improvement while also evaluating opportunities to enhance our portfolio. By taking this disciplined approach, we can advance our near-term priorities while also moving forward with our full value creation strategy for the long term. And with that, operator, please open the line for questions.
Operator: [Operator Instructions] And our first question today will come from Angel Castillo with Morgan Stanley.
Angel Castillo: Just a quick question maybe on the fiscal year '26 outlook. Can you provide just a little bit more color on kind of what you're seeing maybe fiscal 1Q to date and just how that kind of informs your views on the segment outlook for the full year?
Sanjay K. Chowbey: Yes. Sure, Angel. First, let me start by saying we have taken a balanced view on our outlook for '26. As we looked at the market indicators -- we cite industrial production index, PMI, and also we talk to customers, we look at the all rig counts and all that. So overall, what we see, like I've said before, mid-single-digit declines in Transportation, Oil & Gas and Earthworks, Aerospace & Defense growing into low double digit. So I think we are kind of seeing similar start to the year, like what we are projecting here for the full year. So at this point, pretty much on track to what I will say a midpoint.
Angel Castillo: Got it. That's helpful. And then I wanted to touch on just the discussion about the shift in strategy to maybe more kind of portfolio optimization. I guess the way I'm kind of reading that, and correct me if I'm wrong, but just the changes and maybe more focus on cost and production footprint seems to maybe screen as a little less conservatism given near-term demand and more kind of a structural challenges that need to be kind of fixed. Can you maybe talk about maybe 2 sides of that? Like how much of that is just Kennametal's positioning, given -- I kind of thought you would probably be better positioned for the domestic market versus competitors. And so maybe how much of it is just specific to Kennametal versus maybe more macro factors where you're seeing just overall kind of slowdown in production or that you think will persist longer than kind of the near-term kind of dislocations we've seen?
Sanjay K. Chowbey: Yes. Sure. Yes, Angel, I think it will be a combination of both. I do think that -- we have seen 2 years of slowdown in the market, and now we are projecting even volume decline in fiscal '26. So of course, there are a lot of different factors out there. It's very difficult to project calendar year '26 at this point. But based on what we have available at this point, we have taken a balanced approach on that. However, we also know that the things that we are doing with respect to rightsizing capacity and cost structure, these are going to be sustainable changes. We're making changes structurally. And we are also prepared for volume to come back. And we do believe volume will come back because we do participate in a lot of end markets that still have good long-term prospects.
Operator: And our next question will come from Julian Mitchell with Barclays.
Julian C.H. Mitchell: Maybe just wanted to start with the fiscal '26 outlook. So maybe help us if you can with any kind of seasonality of earnings first half, second half and what's embedded on the top line? And also when I'm looking at that Slide 10, which is very helpful, on the EPS bridge, maybe put a finer point on, I'm not sure, maybe tariff headwinds, because it looks like your guidance embeds no operating margin expansion. Or perhaps operating margin is down in fiscal '26. Perhaps tariffs are a part of that. I think that was a $0.04 headwind in the June quarter. Maybe help us understand what's embedded for the full year ahead.
Patrick S. Watson: Yes. So maybe the best place for us to start -- I think I'll hit all of your kind of questions here, Julian -- is if we just think about the business, I'll say, starting from a sales volume perspective. As you think about where we ended Q4 at about $516 million worth of revenue, you kind of have to normalize that for the divestiture that we had during the quarter. And if you do that, you'll get to a number that's closer to a $510 million. And then from that point, right, we would see, I would say, normal seasonal sequential development volumetrically. And you know we generally talk about being down 8% to 10% Q1 to Q2 -- or excuse me, Q4 to Q1. And so we expect that volumetric decline. But layered in on top of that, we're going to have some tailwinds coming from pricing and tariff surcharges as well as favorability from an FX perspective. And so that kind of sets you up from a seasonality perspective in Q1. And on that basis, you kind of roll forward. We're anticipating the year pretty much rolling out in a normal sequential pattern throughout the year. Now I think it's important to kind of think about that. Obviously, we've talked about having some unfavorable volume as we move throughout the year. But on the other side of that, we've had a pretty significant uptick in tungsten costs over the last probably 4 or 5 months. There's a significant amount of pricing that will come about as part of that as we move through the year. And I would say from an earnings perspective as well, we're going to see a pretty normal cadence of about 40% of EPS in the first half, about 60% of EPS in the back half. And so while you got a lot of toing and froing going on here, some big things going on, I'd say at the top level it looks like a pretty normal pattern for the entire year. Getting back to your question with respect to tariffs, we did have a $0.04 headwind as we expected. I think we had talked about a potential $0.05 headwind in Q4. Moving into Q1 and then for the balance of the year, either through operational ways or through our surcharge, we are covered on tariffs as they stand right now at the beginning of August in terms of what's been announced and in place at this point in time. And so obviously, that's a coverage issue. So yes, you're going to see a little bit of margin compression relative to the tariff situation.
Julian C.H. Mitchell: And then just my second question, maybe confirm is the margins in your EPS guide -- midpoint are operating margins sort of down a bit? I just wanted to confirm that in fiscal '26. And Sanjay, I think people on this call and investors have heard half a dozen restructuring programs at Kennametal in the last couple of decades. For various reasons, those haven't generated sustainable margin expansion. Maybe any pointers from you as to how you think this plan is different in the confidence of it being able to deliver some kind of sustained margin expansion?
Sanjay K. Chowbey: Yes, sure. I think, Julian, the first part -- again, Pat can jump in on that one, too. But on the operating margin, if you look at the bridge, we are projecting operating margin improving in '26. There are other factors that you can see in the EPS bridge. Now coming to your question, a very good, obviously, a valid question. What I can speak to is from the time of Investor Day what we have said about the $100 million target, and now we have implemented $65 million and then projecting all the way to $125 million, based on the details that we are managing, I'm very confident that we are taking the actions which are very structural, whether it's a footprint related or organizational structure changes or our material cost sourcing-related improvement projects, productivity, which are sustainable. So I feel very confident that these improvements are sustainable. And when the volume does come back, we'll see the bigger impact of that. Obviously, over the last 2, 2.5 years, we have seen a huge negative impact of volume. So it's not showing up in our overall performance. But I'm confident that what we're doing is going to stick.
Patrick S. Watson: Just to clarify on the operating margin there, Julian, Sanjay referenced it up. That's if you pull out some of the positive one-timers we had in fiscal '25 relative to the tornado effect and the tax credit on the tungsten, I think once you normalize those things out, that's up. But if you keep them in, it will be modestly down.
Operator: And our next question will come from Stephen Volkmann with Jefferies.
Stephen Edward Volkmann: Maybe this is a Pat question. Tungsten is obviously up actually a lot here recently. Normally, that's a pretty strong positive correlation with your margins, but it doesn't seem like you're really factoring that in for FY '26. Am I thinking about it the right way?
Patrick S. Watson: Yes. I'd say if we think back, let's call it -- talk about a normal cycle, Steve, we would see tungsten prices positively correlated with higher, I'll just say, industrial production or activity in our end markets. And so one of the things that's unique at the moment is we are seeing a pretty significant ramp-up in tungsten costs. We will be able to absolutely pass that on to our customers, but we're not getting the added benefit at the moment in terms of the additional volume in the end market. So this situation is just a little bit different. Now as you think about that from a margin perspective, I would say absolutely as we think about infrastructure margins, specifically in the first half of '26, we will see some lift in the margins as we always get, that, if price starts coming up, raw material costs remain subdued. As you know, we'll get -- as we get to the back half of the year, we'll get more neutral. And so based on where tungsten sits right now and the recent pricing trends we've had, I would expect that as we move into Q3, we would see neutrality happen somewhere latter half of Q3 and then be fully neutralized in Q4. But we'll know more as the weeks go along in terms of what the development from a tungsten price perspective is here out.
Stephen Edward Volkmann: Okay. And then maybe one for Sanjay. It doesn't seem like your competitors or your distributors are getting quite as much of the headwinds as you are. And I'm curious, as you've done your first year review, are there just pieces of this business that you shouldn't be in that are sort of -- it's time to 80-20 this thing rather than just shut factories and actually exit certain low-performing businesses so you can kind of clear the decks for growth when that comes back?
Sanjay K. Chowbey: Yes. A good question. Look, first of all, I think our competitors and others have only talked about the calendar year '25. At this point, I believe that there is alignment on when you look at the next 6 months. I do think that transportation, if we look at the OEMs, they have come out in U.S. mid-single-digit kind of decline for second half of this year. When you look at the oil & gas majors, they have also talked about that they are not really planning to really invest a lot more on new oil rigs and things like that. And then when you look at the earthworks and mining -- so I think if you look at these 3 industries, transportation, oil & gas and earthworks, we are very similar in what we're seeing from our customers. In aerospace, defense, including space and defense, we are doing quite well there. We will expect to take advantage of the market growth, but also on top of that are winning a little bit bigger share of the wallet. So I think that our outline for next 6 months will be very similar. We are taking it next -- following 6 months. At this point, yes, there could be some argument that we -- who knows what's going to happen in calendar year '26. But we believe that we have taken a balanced view in overall projection. Now coming to your other question, should we exit some of the business? Of course, we have spoken about that. A year ago, I talked about portfolio optimization. So we are looking at our product and business mix and making sure that we improve our performance. And we have taken some actions and the actions -- we continue to work on things. Many of those will include organic actions to improve performance of those areas where we think we need to do more.
Operator: And our next question will come from Tami Zakaria with JPMorgan.
Tami Zakaria: My question is on the energy end market outlook. I think you're expecting flattish for this fiscal. Does that embed any pickup in rig counts in North America? Or essentially, what's driving that flattish outlook for energy?
Sanjay K. Chowbey: Yes. A good question, Tami. I think it's kind of buried in our information there. Overall rig count, we do expect it to come down by mid-single digits. One of the reasons again we are projecting flat because material cost with higher APT price and all that, and a lot of our products that go into oil & gas application are very heavy on material content. So as a result, at this point, from a revenue perspective, we're saying flat, but we know that from a piece volume perspective, it will be down.
Tami Zakaria: Understood. That's very helpful. And then similarly for aerospace & defense, I think you're expecting up high single digit. Is the expectation that it's stable high single-digit growth throughout the fiscal year? Or do you start out slow, but then get better? Any seasonality to think about for that end market?
Sanjay K. Chowbey: I think besides the normal seasonality that happens, we are basically expecting at this point aerospace & defense to continue to get better as the supply chain constraints have gotten better and also OEM production have improved. At this point, definitely, Boeing production has been continuously improving. I think there are some challenges with European-based OEM in terms of supply chain and the strike and things like that, that they mentioned in their earnings call. So I do believe those things should be resolved as the year progresses. So at this point, our projection on aerospace, defense, Tami, is low double-digit growth.
Operator: [Operator Instructions] Our next question will come from Steve Barger with KeyBanc Capital Markets.
Robert Stephen Barger: The $2 billion revenue guide is the fifth year at this level, plus or minus about $50 million. And as you noted, volume has consistently been under pressure the last couple of years despite the new wins you talk about. Has competitive pressure increased? Or are you seeing a structural decline in cutting tool demand in some of your end markets?
Sanjay K. Chowbey: Yes, Steve, overall, I think volume decline in transportation, oil & gas over the last couple of years is very palpable, right? I mean you can see it in all different data points. And I think that's what we're seeing. As far as if there is a competitive pressure or things like that, we have also demonstrated in the last 2.5 years, where we have the public peer data available, that we are able to compete and outperform and, at the minimum, match the performance. So we don't think that we're losing any share. In fact, we believe that we are winning share. And at this point, the way we are also positioning ourselves in aerospace, defense, going forward, we will -- we expect to win more share there. So I think that it is a broader market situation. And as far as overall the addressable market situation, by nature, this business does have some of that built because our job is to improve our customers, improve performance from tooling. So that will put some pressure, but there is plenty of opportunities out there for us to maximize. And I think overall, last 2.5, 3 years, we have not seen a cycle, up cycle. Generally, cycles last 6 to 8 quarters. This is very unusual what's going on. But of course, we all know a lot of different factors, including now trade policies and other things. So long term, we still feel positive about outlook. But near term, we do know that there are challenges out here.
Robert Stephen Barger: Okay. And the structural cost changes you're facing aren't new. This has been a restructuring story for years. So I wanted to ask a question about the Board. Can you talk about their sense of urgency around these challenges? What's been the tone in the last few meetings? And with the average tenure of the Board being about 10 years, is it maybe time to get some new thinking in the room?
Sanjay K. Chowbey: Yes, there is a very high sense of urgency, Steve, in that regard. And that's why when we talk about unlocking the future value in my last slide, we are -- we know that we need to do more on above market growth and lean transformation and also improving our overall portfolio. But we're emphasizing rightsizing capacity and structural cost actions because of that sense of urgency. So management team and Board are very much aligned. We're taking a very balanced but also very -- with high sense of urgency these actions.
Patrick S. Watson: Steve, I will only add to that, that just from a Board composition perspective, right -- you noted the tenure there. I would just simply note as well we've got a couple of new people on the Board here as well. So there has been some recent additions to the Board, bringing in new perspectives and experiences too.
Operator: And this will conclude our question-and-answer session. I'd like to turn the conference back over to Sanjay for any closing remarks.
Sanjay K. Chowbey: Thank you, operator, and thank you, everyone, for joining the call today. As always, we appreciate your interest and support. Please don't hesitate to reach out to Mike if you have any questions. Have a great day. Thank you.
Operator: A replay of the event will be available approximately 1 hour after its conclusion. To access the replay, you may dial toll-free within the United States (877) 344-7529. Outside of the United States, you may dial (412) 317-0088. You will be prompted to enter the conference ID 789-3708 then the pound or hash symbol. You'll be asked to record your name and company. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.